Operator: Greetings, and welcome to the DigitalBridge Group First Quarter 202 Earnings Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Severin Watch. Please go ahead.
Severin White: Good morning, everyone, and welcome to DigitalBridge's First Quarter 2022 Earnings Conference Call. Speaking on the call today from the company is Marc Ganzi, our CEO; and Jacky Wu, our CFO. I'll quickly cover the safe harbor, and then we can get started. Some of the statements that we make today regarding our business operations and financial performance, including the effect of the COVID-19 pandemic on those areas may be considered forward-looking, and such statements involve a number of risks and uncertainties that could cause actual results to differ materially. All the information discussed on this call is as of today, May 5, 2022, and DigitalBridge does not intend and undertakes no duty to update it for future events or circumstances.  For more information, please refer to the risk factors discussed in our most recent Form 10-K filed with the SEC and in our Form 10-Q for the quarter ended March 31, 2022.  Great. So we're going to cover our standard quarterly agenda. Marc will start with highlights from the quarter. Jacky will cover our financial results, and then Marc will wrap up with how we're executing the digital playbook in 2022, followed by Q&A. We've made some great progress to our '22 goals already with some very compelling transactions. So let's get started. With that, I'll turn the call over to Marc Ganzi, our CEO. Marc?
Marc Ganzi: Thanks, Severin. That's exactly right. It's been a busy start to the year, and we're already delivering on many of the key 2022 objectives. In the first 4 months, we've announced a series of exciting transactions that position us to deliver on and most importantly, exceed our financial guidance, while at the same time advancing important strategic goals, which we'll talk about today. The deals that we recently announced are centered around our ability to pair capital, with our best ideas and the opportunities that we see across the digital infrastructure landscape. At the same time, we're increasing our shareholders and your exposure to the attractive economics of building and owning these highly sought-after assets.  We'll talk about the progress today that we're making on first, building a full-stack digital infrastructure investor; second, investing in high-quality digital businesses; and lastly, scaling our high-performance operating platform.  So let's get started. Next slide, please. So the first important deal I want to cover today is the agreement we reached in April with our partners at Wafra to progress their investment to the corporate level. When Wafra first took a stake in our investment management business 2 years ago, we are managing through both the early stages of the COVID pandemic, and a massive, diversified to digital transformation of the company. Their investment accelerated that process. And now that we've gone completely digital, it's time to consolidate 100% ownership back under DigitalBridge and unify our relationship with them so that we have 1 set of investors focused on 1 business plan.  This is a deal many of our investors have asked us about. How and when can you buy back the Wafra stake. It's a question rooted in the understanding that our digital investment platform is such a great business. And why not? It's growing quickly, it's capital-light and it's got great margins.  It was clear to us as we look to deploy the balance sheet capital, this was our highest and best use. It's a transaction that hits the mark on 3 critical fronts for you, our investors. First, it's immediately accretive to earnings. Over $38 million in incremental run rate FRE in 2022 to you, our DigitalBridge shareholders, on its way to $60 million in a few years. That's a 46% increase relative to our prior '22 guidance as 100% of the earnings now flow to DigitalBridge shareholders. Second, 100% ownership in DigitalBridge's IM platform is entirely essential to the future of the business. We're deploying our balance sheet capital into high growth, high return on invested capital, high-margin businesses that are growing organically at 20-plus percent. And keep in mind, the fees that we generate from our investment management balance sheet are on average, 10-year, 11-year, 12-year funds. These are long-duration funds, very similar to the leases that we sign on cell towers and data centers. So the duration and the quality of these cash flows and the investment-grade counterparties that we work with are very much akin to what we do in our digital operating business.  And we're executing at a great price for such a high-growth business around 20x. This is in line with our capital deployment targets. It's a multiple that goes down to mid-teens in a few years as we rapidly scale our digital investment management platform, which I'll talk about today. It's important to note these multiples don't capture the value of the 31.5% share of the corporate performance fees that we now retain on future funds. You would also know this is carry or carried interest. We believe this will represent significant value to DigitalBridge shareholders over time. Finally, simplification. This is the latest step that we've taken to make our business easier to analyze. We are now a 100% owner of our Digital IM franchise. That's an easy metric for everyone to understand. Bottom line, we emerge from this deal with higher earnings, a simpler structure and greater exposure to our fastest-growing digital investment management platform. Before we move on to the next slide, I want to take the opportunity to thank the entire team at Wafra. They've been exceptional partners and will continue to be great partners as we enter the next phase of growth at DigitalBridge.  Next slide, please. So our next decision was to revert to a conventional C-Corp, which we announced in connection with the Wafra transaction. Our REIT status was a question we felt like it needed resolution as we move forward and the compelling nature of the Wafra transaction catalyzed our decision, highlighting the value of the additional strategic flexibility afforded by operating as a traditional C-corp. Ultimately, what I'm focused on is doing what's right, not what's readable. As Jacky has noted, we've always been pragmatic about our legacy REIT status and does it serve our strategy. Most importantly, does it serve our customers and our ability to execute on our businesses.  After careful analysis, we determined that the additional strategic flexibility of operating outside of our regulatory reconstraints is ultimately the best way for us to deliver long-term shareholder value. And with de minimis tax implications estimated to range between $10 million to $60 million on an NPV basis over the next 5 years, the decision was quite clear. The change also highlights the significant NOLs and capital loss carryforwards from legacy operations that will provide shelter for taxable income in our digital operating segment and our performance fees, carried interest into the future. As you know, Digital IM already operates as a taxable REIT subsidiary, so there was no change there. We think this change at the end of the day, makes a lot of sense.  First, it removes uncertainty and it frees us up to execute transactions like Wafra and the AMP Capital deal, which I'll talk about in the coming pages. Next slide, please. While the Wafra deal has always been a strategic transaction that we wanted to execute, our acquisition of AMP Capital's global infrastructure equity business was actually quite opportunistic. A quick background here is the combination of our strong mutual LP relationships that we had and connectivity with the AMP team that allowed us to execute what would be a highly accretive transaction that gives us day 1 scale in a complementary middle market segment with a terrific management team.  In addition to that, we picked up a great portfolio of existing investments with strong long-term earnings and future FEEUM growth potential. As with Wafra, I want to highlight the 3 key tenets to this transaction. First, we advanced our full stack IM strategy, adding a value-add franchise in the middle market, where you write checks between $100 million to $500 million which are candidly too small for our flagship digital infrastructure equity strategies, where we are typically deploying between $500 million and $1 billion per equity check. It's a space ripe for high return potential and with a refined Digital Plus strategy with lots of room for growth. Their second $3.4 billion GIF II fund is around 60% digital already, and that ratio will grow over time.  When we have some great overlap LP relationships, we also had the privilege of getting to add new LPs to the mix, but we believe will be interested in our other offerings over time. This was a great chance to continue to build new strong LP relationships on a global basis.  Second, the transaction will be highly accretive. We're adding $5.5 billion in FEEUM and increasing our run rate FRE to our IM platform by $23 million on an annualized basis this year. Lifting pro forma earnings 20% above the midpoint of our prior guidance. We've done this at an incredibly compelling valuation of about 8.4x FRE before any potential earnouts and cost synergies. This is a great deal, as I mentioned before, driven by strong LP relationships and connectivity with the AMP team, which is actually my third point.  This is a very high-caliber plug-and-play team. We're adding another 25-plus infrastructure professionals to our 100-plus strong global team that will be based out of the U.K. with a shared focus on generating long-term returns for investors. As most of you know, we recently announced the addition of Matt Evans, our Head of Europe. Matt, as some of you know, was formerly at AMP Capital and knows all of the members of the team and knows the assets. This really helped us in assessing the opportunity in realizing this was not only a great portfolio, but a great team. So great team, great economics and a great portfolio that fits right into our full-stack digital IM platform.  Next slide, please. Before we move on to cover some of the investment level deals we announced in Digital this quarter, I want to take a step back and put the Wafra and AMP transactions into proper perspective. When you consolidate these deals, we have increased DigitalBridge shareholder earnings from our Digital IM platform by 74% since we laid out our guidance back in February, which was already a beat and raise, going from $82 million in at share fee-related earnings to $143 million once these deals close. That's frankly near the midpoint of our 2023 targets, which is about a year away. And now all of this 100% flows to you, our DigitalBridge shareholders. That's pretty stunning.  And when you factor in the attractive entry valuation of both deals at 16 times, we believe we transacted at a highly accretive entry price for our shareholders.  Next slide, please. While we are busy on the corporate level, executing these larger transactions, we've also announced some key investment level deals with a particular focus on advancing what we call our full stack strategy. We have executed important investments across 3 of our new verticals: core, credit and ventures. Warehousing deals on the balance sheet to seed and highlight the kind of high-quality companies and assets we plan to invest in those strategies as we scale.  First, Telenet. Here, we took advantage of the opportunity to create the first independent tower company in Belgium with an expansive nationwide footprint of over 3,000 sites and lots of room for continued tenancy growth as they build their 5G network. It's a business that will have very predictable cash flows, with high-quality counterparties and long-term contracts perfect for that initiative.  Second is Everstream. We're in partnership with Canadian pension plan. We invested $220 million in a term loan to support the growth of Everstream's business-only, enterprise-grade domestic fiber network. This is exactly the kind of skill capital, many growing digital infrastructure companies need and we were well-positioned to provide a value-add credit solution.  Finally, Celona, where we led a $60 million Series C round with participation from other Tier 1 venture capital firms. This is DigitalBridge ventures inaugural investment, and we're excited to extend our platform into high-growth companies across emerging digital infrastructure technologies. Celona, which produces gear that specifically serves the 5G and CBRS ecosystem is exactly 1 of these companies. We couldn't be more excited about partnering with the management team there and other Tier 1 VCs, as Celona builds out the next generation of indoor wireless networks. It's important to note all 3 of these investments have been warehoused on our balance sheet, highlighting another benefit of our new, more flexible corporate structure. We've been seeding the next generation of scalable investment offerings is a great way to leverage our permanent capital.  Next slide, please. So to wrap up our Q1 highlights. We've dropped the new core credit and venture investments into our full stack framework and even added the AMP deal to our equity sleeve, where it bolts on a middle market capability with slightly higher targeted returns in Digital Plus. The goal, as we've outlined before, is to establish DigitalBridge as a full stack digital infrastructure investor, owner and operator with the ability to go anywhere to invest, operate and capitalize on the $400 billion annual global CapEx spend across our industry. I believe this positions us uniquely at the intersection of supply and demand with the capability to raise and pair capital with the right opportunity to generate strong risk-adjusted returns for you, our investors. In fact, our ability to go anywhere globally to show up for customers and corporates is truly unique in our sector something I'll talk more about in Section 3. But for now, I want to hand the call over to my partner, Jacky Wu, to take you through the financial results for the quarter. Thank you, Jacky.
Jacky Wu: Thank you, Marc, and good morning, everyone. As a reminder, in addition to the release of our first quarter earnings, we filed a supplemental financial report this morning, which is available within the Shareholders section of our website. Starting with our first quarter results on Page 13, the company continues to see strong year-over-year growth, driven by successful IM fundraising. For the first quarter, reported total consolidated revenues were $257 million, which represents a 17% increase from the same period last year.  Year-over-year growth was driven by our continued expansion in both AUM and FEEUM. Net income was a loss of $262 million, primarily as a result of $219 million of onetime noncash losses, including $133 million from the early extinguishment of the 2025 exchangeable notes and $91 million associated with the sale of the legacy Healthcare portfolio. Total company adjusted EBITDA was $20 million, which grew from $13 million in the same period last year primarily driven by our successful fundraising in our high-margin Digital IM business. AFFO and distributable earnings of approximately $2 million improved from a loss of $5 million last quarter and a loss of $10 million in the first quarter last year, also driven by growth in our IM business.  Digital AUM was $47 billion in the first quarter, which grew by 45% from $32 billion in the same period last year. Beginning next quarter, we plan to only focus on year-over-year results as this is a better measure of our long-term growth trends, while deemphasizing these quarter-over-quarter fluctuations associated with IM catch-up fees and incentive fees. Also, as Marc discussed earlier, we signed 2 important transactions after the end of the quarter. The first was the purchase of Wafra share of our IM business, and the second was the acquisition of AMP Capital's global infrastructure equity business, which will significantly increase fee-related earnings and add 4 new digital infrastructure portfolio companies to our IM platform.  We are excited to initiate a regular quarterly common dividend in the third quarter. Recurring cash flows have turned positive in the first quarter and will accelerate following the pending Wafra and AMP transactions. And as we meet or exceed our guidance growth targets, we expect our common dividend per share to materially increase over time, while we continue to invest in high-growth digital businesses. The company is strong and healthy, driven by our sector-leading asset-light investment management business that generates high-quality long-term fee earnings, and we plan to further optimize our capital structure in the near-term using available liquidity.  Moving to Page 14. Consolidated core digital revenues were $247 million, a 12% increase from the same period last year driven by new DBP II fees. As anticipated, investment management revenues declined compared to the fourth quarter as the fourth quarter included $8 million of onetime catch-up fees alongside the final DBP II close and $6 million of incentive fees from our liquid products.  Looking at the right side of the page, consolidated adjusted EBITDA was $111 million during the first quarter, which is a 10% increase from the same period last year, also driven by new DBP II fees. Turning to Page 15. We have seen continued growth in our digital business, particularly in our high-margin investment management business. The first quarter amounts shown on this page are pro forma for the pending acquisition of AMP Capital's global infrastructure equity platform. We additionally will own 100% of the IM revenues and FRE following the acquisition of Wafra share in the business. Both transactions are highly accretive and in line with our promise to be disciplined, deploying our capital into high-growth digital businesses with a strong recurring yield profile. Since last year, our annualized fee revenues increased from $124 million to $235 million, and FRE has increased from $70 million to $124 million.  Turning to Page 16. The company has strong current liquidity of approximately $1 billion. We will deploy $718 million combined for our 2 pending IM acquisitions. This capital deployment will be more than offset by over $1.1 billion of net proceeds expected to be returned from previously warehouse investments to seed new investment management products, new lease pursuit strategies and $500 million from the last remaining legacy investments. As a result, we anticipate accumulating $1.4 billion of liquidity to fuel acquisitions and to further optimize our capital structure. We are very excited for the rest of 2022. And as our fundraising and M&A pipeline continues to be robust, and this liquidity will help us execute on this pipeline and accelerate our digital growth.  And with that, I'd like to turn it back to Marc. Thanks.
Marc Ganzi: Thanks, Jacky. As I said earlier today about the attractive financial implications of the 2 transactions that we consummated in the last 3 weeks, I wanted to really cover for you the strategic rationale and give you some more perspective on why the growth in our investment management platform is so seminal to our strategy. First and foremost, it is about accelerating and scaling our businesses that is fundamentally focused on a customer-centric approach. This is our ability to serve global technology and telco customers in ways that other digital infrastructure REITs and managers cannot. They're operating at scale. So we need to operating at scale. And by having an asset-light model, it enables us to go anywhere and deliver for customers and raise capital and execute. As the flywheel on the right highlights, investment management capital formation enables us to capitalize on new digital infrastructure opportunities, which creates a virtuous cycle that reinforces our ability, first and foremost, to serve customers. They want to work with partners that can deliver. And here is the magic of what we're doing today at DigitalBridge, we deliver. That is a hard fact. We talked about it in our last quarterly call, over $70 billion of new construction happening in 5 different continents today. So at a corporate level, we're investing that time, that energy, we're forming the capital to make sure that we have what we believe is the most capable global organization, built to meet those expectations, the expectations of our customers. We believe our asset-light framework is by far the most efficient way to form capital to achieve these objectives.  Next slide, please. So how have we done this? We've done it by being able to scale and to meet the size of the opportunity that sits in front of us in digital infrastructure, and to get out on the battlefield and compete effectively against our digital REIT peers. It's really about leveraging our comparative advantages, and I think you see it here very clearly. First, on the left hand of the slide, we've had 64% CAGR growth over the last 3 years in our rapidly growing AUM business model. This is what drives scale. When we first did the merger back in 2019, we were roughly at about $13 billion of digital assets under management. By the end of this year, we'll be north of $60 billion in digital AUM. That's the power of an asset-light model.  It's leveraging our expertise and investing across this evolving ecosystem and doing it in a nimble way and executing. These are the key differentiators that allow us to compete and win consistently, growing much more quickly than our established digital infrastructure peers. You can see this on the right-hand side, look at the digital AUM rankings today. We're fastly climbing the ladder, and we've done it in a very short period of time. That's tremendous growth, and it's enabled by our ability once again to form capital consistently through this unique investment management platform. Next slide, please. This growth that we discussed in AUM has really enabled us to perform as a category leader. And we've done so in just a short 5 years, competing head-to-head with what we believe are some of the best established players in the world that have had a 2- to 3-decade head start. Just looking at the slide here on the graph to your left, 74% EBITDA growth over the last 3 years in terms of our CAGR growth. When you compare that against the leading digital REITs in the world, which have averaged 7% to 16%, you can see that this business model allows us to scale faster and quicker and grow quicker. This is the key. The key in having an asset-light digital infrastructure operating model is that we can grow quicker. And it's enabled us to catch up and it's enabled us to operate at scale and compete on an effective level playing field against our digital infrastructure peers.  The scalability of our platform not only drives strong earnings for DigitalBridge shareholders, but our diversified portfolio of category leaders is also outperforming down at the portfolio company level. So when you look across 2 key business units that I know all institutional investors follow, towers and data centers, you can see we're delivering results. Just look at the lower right hand of the slide of this page. We leased more megawatts last year across the DigitalBridge portfolio companies than many of our largest peers. That's astonishing. 290 megawatts across Vantage, Scala and DataBank compared to what we think are 3 best-in-class publicly traded data center REITs.  In the tower sector, looking in the upper right-hand corner, 30,000 towers is where we ended at the end of last year. That compares to 5 years ago, we had less than 3,000 towers. So we're scaling, and we're able to go out and effectively compete, compete in the build-to-suit market, compete in the tower M&A market. And this is what's really the success factor in the business model that we're delivering today for you, our shareholders. It's rooted in the capability that we have a highly scalable asset-light IM platform that gives us the firepower to operate globally and execute locally. This is the differentiation in where we're going with DigitalBridge today.  Next slide, please. So look, I'm going to finish where I started highlighting our key objectives. I think all of you know, I'd like to clearly communicate with all of you about where we're going this year. First, number one, we're building a full stack digital infrastructure investor. We've made great progress during the quarter with new investments in credit, core and ventures, and all of it is on track. That's the key.  Second, I want to meet and exceed our fundraising and operational targets. The Wafra and AMP transactions put us firmly on a path to exceed our financial guidance, and we continue to see a robust fundraising environment. And look, this sets us up to deliver on our organic growth objectives as we form capital around these new strategies that we've launched this year. I'm looking forward to updating you in the next quarter and our progress here as we continue to exceed your expectations.  Third, we're going to continue to accelerate and scale our high-performance asset-light platform, as I've just highlighted. This is central in our ability to continue to grow rapidly, compete and win by leveraging our position as the partner of choice to institutional capital, focused on the digital infrastructure investment opportunity. And that really is the key. This is a massive opportunity. So there, you have our progress against our key objectives for the year as we remain focused on building a high-growth digital infrastructure platform that serves customers and generates most importantly, strong returns for you, our investors, and our shareholders.  With that, I want to thank you for listening to earnings presentation this morning. I'd like to turn the call back over to the operator to initiate the Q&A session. Thank you.
Operator: [Operator Instructions]. Our first question is from Michael Elias of Cowen.
Michael Elias: Two, if I may. First question is, I mean, you did some great transactions in terms of Wafra and AMP. And really on the call, we emphasized the capital-light approach going forward. And my question for you is, as we look forward and think about the balance of further M&A between the investment management platform and the operating business, how should we think of that balance? And also as part of that, how should we think of your outstanding operating guidance? And then I have a follow-up.
Marc Ganzi: Yes. Thanks, Mike, and appreciate your attention and thoughtful questions. So first, on the allocation of capital, I think that's kind of where we need to go with this question is how do we prioritize where we put the money to work. We did a lot of hard work last year getting ourselves into a strong liquidity position by the work that Jacky and the team did. And so the reward for that is we get to be opportunistic, and we got to put that capital to work, we think we can generate the best earnings and generate the fastest amount of AFFO. So on that basis, in this quarter, we found that there were 2 opportunistic trades in Wafra and in AMP that really could help us accelerate our objectives on 1 half of the side of the ledger, which is Digital IM.  Secondly, as we think about where we're putting capital to work in our digital operating business in this quarter, we didn't find anything in the hyperscale front that fit Vantage YieldCo's objectives in our returns. Things are still price to perfection and hyperscale. We did deploy capital at Databank. Databank had a really strong quarter, beating its budget by a little over 1.4% in terms of EBITDA growth, very strong bookings. And further to that, the biggest pipeline we've ever had in the company's history with over $28 million of leasing in the backlog and roughly about a dozen new construction projects where we're expanding capacity in -- across our core markets. So both Vantage and Databank have continued to perform at our expectations.  I would say, exactly where we've told you it would be. And we see a lot of green shoots in Databank, and we see more hyperscale opportunities at Vantage YieldCo in the rest of the year. Just in this quarter, there was nothing that manifested itself that made any sense from our perspective. But remember, at the end of the day, we're the stewards of the balance sheet. And my objective is to achieve the highest returns on invested capital for you and for every shareholder. And on that basis, AMP and Wafra delivered that outcome. So look, I think that in addition to that, you're going to see us be incredibly hawkish with how we use the balance sheet. We have the envy of having a strong balance sheet. We have a strong liquidity position, as you saw in today's presentation.  We're going to get a lot of capital coming back to the balance sheet throughout the course of the year. And so we want to maintain that high liquidity, maintain that flexibility. Obviously, we've got some preferreds that we want to keep our eye on and think about redeeming. We never rule out share buybacks and measuring that against total return on capital. And of course, we're putting the dividend back on in the third quarter. So these are all priorities on how we're going to use the cash. We're going to be incredibly thoughtful and intelligent about it as we've always been. I think you've always heard Jacky and I be incredibly responsible with the cash. And I think this quarter demonstrates that and we've executed exactly how we've told you we would. Your second question, Mike, I don't think I answered your second question. Run it back again, sorry. Go ahead.
Michael Elias: Yes. Well, on the -- what I was asking is you have outstanding operating -- digital operating revenue, EBITDA guidance, which assumes some M&A. Just wondering how to think about that. That was the second part of the question. But then I do have a separate question, and maybe I can sneak it in here. Like look, we've seen interest rates move higher over the last years. And over the last year, and we've seen shifts in the macro environment. What I'm wondering is, from your perspective, when we think about data center deals, how has your view of what you could do on an LTV basis or a net debt-to-EBITDA basis changed over the last year? And then how have the rates that you could get for deals on both zColo and hyperscale also change. I know there's a lot in there, but I would really appreciate the color.
Marc Ganzi: Yes. Let me try to unpack the corporate story and then we can go down to the asset level story. I think on a corporate basis, we were very clear last year why we wanted to securitize our cash flows from our investment management business. First and foremost, we saw a window where interest rates were low. Second, we found a structure where we could fix our cost of debt, which I've always been very clear with you and our investors that, that is a key tenant and how I've built great companies over the last 27 years is using the securitization marketplace to have 30-year backed notes and securities that really codify the capital corporate structure, which we've done very thoughtfully. And we'll continue to do that. Right now, we're in a window where interest rates and risk are moving up. And in turn, you're finding that credit is tightening as it should. And stories that are good and stories that are understood by the rating agencies are going to get financed where they have strong cash flows and investment-grade counterparties and marginal stories are not going to get financed. And we're already seeing that play out in this quarter. I think as you move down into the portfolio company realm and you talk about the financeability of zColo and edge and hyperscale, what we've seen, at least from our side and our portfolio companies is we've been able to get financing done in the quarter. So if you look across all of our businesses, once again, using that long-term 30-year CMBS and ABS structures, we've been able to lock down our debt, and we did that all last year.  We were busy last year at the portfolio company level of locking down our capital structures. Once again, I said that last year. If you listen carefully to my calls, I was very focused on locking down long-term capital at historically low rates on 30-year tenured CMBS and ABS. We did that at Databank and we did that at Vantage. And I'm not going to tell you we were prophetic in that. But we do have a sense of capital markets and we have a sense of ebb and flow. This is a team that's been doing this for 28 years. So that was not accidental. I want to be clear. We plan for these situations. We felt like interest rates were going to move last year. We felt like that the world was a challenging place, just given the amount of free money that was pumped into the system.  We saw inflation a year ago. We told you that on calls 4 quarters ago, we were seeing inflation. And now it's all manifesting itself and some people act surprised. I'm not surprised. Once again, the battle scars of the dot-com crash and the '08 mortgage crisis, where Jacky and I were C-suite leaders, and we let our companies through those crisis. This is a management team that candidly has more depth and operating experience than our digital REIT peers. We've been doing this longer. So being through those cycles and having great management that understands how to prepare for it, and prepare our portfolio companies and our investment management business, making sure that those businesses are solid in a good place is what we do. It's part of our investment framework here.  So I feel like we're in a great position at the corporate level. We've got cash. We've got flexibility. We can be patient. We're going to continue to be patient. And then down at the portfolio company level, once again, all of our businesses are well capitalized. Most of our debt maturities are on these 30-year stacks that we talked about, most of those loans were originated in 2020, 2021, and a few of those, we did a little bit of financings in the beginning of 2022. So being battle-tested, being prepared, having what we think is best-in-class leadership. When we go into these choppy markets and you move into the unknown, you want to be with great management teams. You want to be with the team that understands how to operate in this space, protect capital.  And once you protected your capital, how do you grow, how do you go out and play offense. I'm actually -- I don't want to sound too jubilant about it, but Jacky and I and Severin, we're very excited about what's in front of us. We're built for moments like this. And hopefully, shareholders that invest with us and understand our track record and understand how we've been able to build great companies through difficult moments. They'll profit from joining that journey with us. So we're seeing opportunity. We see a lot of opportunity. And the fact that we were able to form a lot of capital in the last 2 to 3 quarters is advantage DigitalBridge. Because when you look at the capital structure of some of these public companies, and their ability to generate liquidity and their ability to go out and raise capital to go do greenfield and brownfield in a market like this, that becomes constrained. We are unconstrained.  This was the whole purpose of our presentation today, is having the ability to go anywhere, having the capital to go compete and most importantly, having the local teams to execute while others may be conservative and need to pull back. That's not something we need to do here at DigitalBridge, sorry for the long-winded answer, but I'm really -- this is a key, key focus of this quarter in our presentation today, Mike.
Jacky Wu: And just to answer your guidance question, I'll break up into 2 areas. So obviously, both AMP and the Wafra transaction, we've guided and said to The Street in our releases that those are additive to our guidance. So we expect in 2022 that on the Digital IM side, we will meet or exceed our guidance in addition to the overlabor both AMP and Wafra. Digital operating we did not guide to M&A for 2022 just because as we discussed, it's never prudent to do so until it's signed up and qualified. But in terms of our longer-term guidance of M&A.  What we have said and what I've guided is that we still have $1.4 billion of liquidity in the near-term as we form new products and strategies and the return of capital back to the balance sheet for warehouse opportunities as well as remaining legacy assets that we continue to monetize. So there'll be plenty of firepower for us to continue to deploy. We still love digital infrastructure businesses in general, and we will go and acquire businesses to the degree the price and the return makes sense for our shareholders.
Operator: Our next question is from Jade Rahmani of KBW.
Jade Rahmani: Considering the evolving macroeconomic environment, firstly, how do you manage to that in terms of business priorities? Secondly, did any cyclical factors play into the REIT decision?
Marc Ganzi: Let's take the second question first. I think on the REIT question, I don't see it as a cyclical situation. What we saw with REIT, Jade, was that we had 1 business unit that was growing a lot faster than the other business unit. And we've been very clear with everyone about that. Digital Operating, Digital IM. And ultimately, it's a tax declaration at the end of the day. And for us, we're business builders. And the ability to be constrained by a tax declaration versus not was a pretty easy decision actually. We're seeing more opportunity to form capital in the private market side versus the digital operating business, which takes capital from the public balance sheet.  And further to that, when you look at the returns, again, returns on invested capital, if you look at what we did with Wafra, we look at what we do with AMP, those were vastly superior, Jade, to the returns that we are seeing and opportunities that we could have put on the balance sheet. When you look around the world and you see assets trading at 29, 30, we've seen some tower deals trade at 40 times here in the U.S., that makes no sense to me at all, Jade. When I can buy long-term earnings that are, by nature, cash flows that have a duration of 5 to 10 years, and I can buy that on a blended multiple at 16x and grow it and bring that multiple all the way down to 11 to 12x within a 3-year time period, that's exactly what I believe investors pay me to do, which is go out and create the best long-term sustainable earnings with the best returns.  So when we deployed that capital for the Wafra transaction, we deployed the capital for AMP, we're getting returns north of 20%. That's easy arithmetic for Jacky and I had explained to you guys. And so that's the decision we made in this quarter. That was the capital allocation decision that was in front of us and we took it. There were other capital allocation decisions, Jade, that came to the investment committee. We chose to not do them in terms of what we put on balance sheet. And so that's really, really key here. I think the other thing is, at the end of the day, the REIT versus non-REIT situation. As we mentioned in the earnings release, you'll see there's about a $10 million -- $50 million tax leakage over the next 5 years.  That's de minimis, right? When you compare that to how fast we're growing in an unconstrained business model. We look at that 74% EBITDA growth, that's where investors want to be. We believe that's where investors want to be. I mean they're going to with their wallets today and over the next couple of quarters where they want to invest in digital infrastructure. Our appeal to them is in this environment, as you pointed out, Jade, where the cyclicals are tough, right? You've got rising interest rates, you've got rising inflation, you've got stock market selling off, you've public competitors being somewhat liquidity constrained, we like our model where we're a little bit more asset light, we're more nimble, and we're not constrained. And the key to this is really simple, Jade. I've been doing this once again for 28 years, the ability to serve customers is the core tenet of this company. We are built to serve our customers and the ability to have capital and the ability to go anywhere for them, that is a concept I got to keep driving home to you and to every one of our shareholders. That is our advantage. That's our competitive advantage. And if we can keep showing up for customers on a global basis, we win. We get more at bats, we get more bookings, we get more lease up and we grow faster. And it's a fact. The numbers are just startlingly clear that we grow faster right now than our public peers. And it's the model and it's the decisions this management team has made.  And certainly, in this quarter, by moving to a C-Corp does give us that more flexibility to go do that and show up for customers. And we think over time, remember, investing in digital infrastructure is not a quarter-to-quarter investment. We believe over the next 2, 3 and 5 years that by investing with us, this is the way you invest in digital infrastructure today. This is the future of where investors should and want to be.
Jade Rahmani: Okay. And with respect to cyclicality and how you manage the business or how the business would be impacted in a downturn, clearly, the investment management baseline fees would be positive. Also the sector has lots of countercyclical attributes as demand for digital infrastructure is a secular trend. But what would be the various things that you're focused on?
Marc Ganzi: Yes. So that's a great question. So getting into the micro, we've got 26 companies around the world. We are communicating with those companies 2, 3 times a week. We have a very good sense of our dashboards and our KPIs. And here are the things that matter today, Jade. One, construction costs. Are we on budget? Are we above budget? And I will tell you that, by and large, given inflation and given the cost of goods sold, we're actually finding that construction costs are not deviating that materially from our business plan. So a material deviation would be something for me greater than 3% to 4%, and we're just not seeing that across all of our businesses. Now Jade, there are certainly outliers. When you manage a $50-plus billion portfolio, you're going to find that certain regions and certain management teams are better at controlling costs than others. But by and large, we feel like on the $7-plus billion of greenfield CapEx we're going to put out this year, we think within a 300 to 400 basis point standard deviation, we will stay within those parameters. So I'm not that sort of concerned about construction costs. I'll tell you where I am concerned. I am concerned about labor. And 2 things are happening in the labor market that I just came back from a conference in Los Angeles with -- sat on a panel with about another 30 CEOs and a common theme and not just digital infrastructure [indiscernible] Jade, but global CEOs, everyone is saying the same thing, right? The cost of labor has skyrocketed.  The competition for labor is intense and how you retain and incent employees to stay is harder than ever, but here's the real challenge Jade, getting people to come to work. It's an absolute phenomenon that's happening across all sectors. Good news for us is our employees are showing up to work, and they're doing the work. But where do you feel that pinch, Jade, is you feel it on the front lines of construction. So people that climb towers, folks that do micro trenching for fiber, data center engineers. I mean these are the most coveted jobs in digital infrastructure today. And so our wages have gone up, as you would expect, depending on the portfolio company anywhere from 3% to 10%, it's a competitive market. We're retaining our employees. We're losing very few people.  Generally speaking, morale is strong at our portfolio companies, but they're working hard and they're overworked. There's a lot of infrastructure to be built. And our #1 mission is to keep our employees happy, keep them mentally satisfied and make sure that they're paid and make sure they're not overworked. These are sort of key things that I think our CEOs are focused on today. So labor is definitely one of the consequences of what's happening in terms of the cyclicality that you mentioned. We talked about interest rates earlier. Interest rates are rising. Liquidity is disappearing out of the system very fast. Our portfolios companies have access to capital. So we are not capital constrained. All the financings that we wanted to get done in this quarter got done.  We had a couple of really material financings that got done down at the portfolio company level. So access to capital for DigitalBridge companies is not constrained. So that's good news. Our cost of borrowing is going up, as you would imagine. So new financing certainly, Jade, are impacted. Previous financings where we've securitized where we have long-term bonds or indentures have not been impacted because I made a conscious decision over the last 2 to 3 years to fix our cost of debt down at our portfolio company levels. So that was a conscious decision that we made based on the facts. Now here's the good news. The silver lining is bookings are up. We had a very strong quarter in terms of new bookings. I think we highlighted that in our presentation today that we feel like we're winning in terms of new bookings.  We're winning new BTS orders. I will tell you, rents anecdotally around the globe are going up. We've heard that across all of our portfolio companies. So whether it's a zColo, whether it's a build-to-suit, we are being able to reprice the rental space for our properties on a global basis. And we're seeing rental rates increase anywhere from the low side of 3% to 4% to the high side of 10% to 15%, depending on the asset class. So as inflation has creeped up, we've been able to reset new rental rates for customers that are entering our facilities and for customers that we're building for. In addition to that, as our leases have fixed escalators and a big majority of our revenues on an international basis are all CPI index, mostly all CPI index.  So as a global business that operates in Asia, Europe, Latin America and obviously here in North America, we are inflation protected. Most of our leases have expense reimbursement pass-throughs. So we're not bearing the burden of high utility costs at the property level or other types of costs that are pass-throughs from a CAM basis. So we feel like this business, the DigitalBridge business and the DigitalBridge portfolio companies are really well situated to take advantage of the market conditions that are coming. We're, once again -- I'm not sort of giving you a jubilant picture, but I think Jacky and I feel really good about how we're situated.  And I think as long as we continue to see bookings growth, which we're seeing across all of our portfolio companies, we remain generally constructive and very positive heading into this turbulent environment.
Operator: Our next question is from Dan Day of B. Riley.
Daniel Day: Congrats on a very, very busy quarter. Just first 1 for me. I wanted to dig in a little on potential synergies with the AMP acquisition. If I just do the math, sort of the FEEUM funds, the management fee funds, FRE margin, it seems like the margin there is pretty low. So I guess any ability to sort of get that more in line with where you guys are at on a 60% margin and upside to FRE and the multiple that you acquired those assets at?
Marc Ganzi: Yes. Thanks, Dan. Appreciate it. So first and foremost, we -- the numbers that we published to you, The Street, today were pre-synergies. So we didn't want to serve up a synergy number and say, we're going to deliver a deal at 7x or 6x. We just don't do that. That's not Jacky and [indiscernible] DNA. We tend to give you kind of what is the base case, and then we like to go out and exceed your expectations. That's generally our prevailing attitude about these things. I'll let Jacky talk about the deal level economics as he drove the deal with Ben Jenkins. But generally speaking, we feel there is improvement. And you want to talk about the improvement there, Jacky, cost and new revenue.
Jacky Wu: Yes, sure. And we're obviously very excited about the transaction, Ben and I and Marc. But AMP's equity platform was a little under scale. Obviously, with just a couple of funds underneath their belt albeit good funds. Now we can plug and play into our back office and our scalable and extensible platform in the IM side to be able to service both back office as well as other support functions like investment management, et cetera, to be able to scale that platform. So you'll see the guidance in terms of the overlay for AMP is showing FRE margin sub-40% you should expect that over time and relatively short time for us to accrete it up towards our margin levels of closer to 60%.
Daniel Day: Great. And then another one for me. You guys have sort of been willing to be patient with the BrightSpire shares, I guess there's a lot of moving parts on the cash with the capital tied up in the warehouse vehicles and capital needed to support these acquisitions. Is there anything to think that it's sort of going to force your hand a little bit that you need to sell those shares just to meet the acquisitions? Or do you feel like you're still comfortable even if you were to put those to the side for the next couple of quarters that there's no worries there about sort of meeting the acquisition, cash needed?
Marc Ganzi: No. I think our liquidity is in great shape, actually. We've warehoused a couple of transactions, which we actually haven't -- we haven't even closed on those and put the cash out. So our actual cash position as of today, May 5, is actually quite strong. We've got a closing coming up with Wafra in a couple of weeks. The AMP transaction has some regulatory review that will take on magnitude of short side of 3 months, maybe as long as 6 months because of [indiscernible] the regulators. So that will take a little bit of time. We've warehoused the Telenet transaction which doesn't close for a couple more months. So our liquidity position, once again, is from a position of strength.  Commentary on BrightSpire, which I'll let Jacky give his views. We continue to have strong conviction and confidence around what Mike Mazzei and the team are doing. The shares have traded a little bit below where we think ultimately the value inherent in the business is. But I think we continue to be very constative on that business. I don't know your thoughts, Jacky.
Jacky Wu: No. That's right. Mike and his team are just doing fantastic. The turnaround that he has implemented that business, both their dividend yield is 9% and rising. And in our opinion, he's doing great work, and we're not going to be forced -- nothing is going to force our hand to be able to say we have to sell these things to fund something else. So our perspective is we'll do it constructively with Mike and the team and what makes sense for him and other shareholders of BrightSpire. And we will be a responsible sellers. But we have all the funding and liquidity we need to do the plan that we want to do with digital infrastructure.
Daniel Day: Awesome. And then last one for me. Just you've acquired a bunch of FRE here over the last couple of weeks. I mean can you maybe quantify how much increased capacity you have to raise capital in the securitized markets. And then obviously, that would add to the firepower you've laid out on Slide 16. So I guess how top of mind is taking those because a good chunk of them are callable now and then the rest of them should be callable over the course of this year.
Jacky Wu: Yes. Sure. First and foremost, we've always said digital infrastructure acquisitions and seeding new funds and products to accelerate growth, both in IM and operating is the best and highest use of cash. So we have done that. We'll continue to do that. When that capital comes back and the new strategies are realized and that capital comes back to the balance sheet, certainly, that's a fair game for us to go and redeem the preferred so long as we don't see another higher and better use of capital for digital infrastructure for our shareholders.  So the way we kind of look at it is prefer to have that coupon in that 7% range. BrightSpire, we just talked about has a yield of 9%. If there's -- if we've got excess cash on hand, and there's no digital infrastructure businesses immediately for us to go and see the new products or go and acquire to our balance sheet, we will go and quickly redeem those things where appropriate.
Operator: Our next question is from Jonathan Atkin of RBC.
Jonathan Atkin: So I think you talked to portions of this, but maybe just to put a finer point. Given higher debt financing costs, how does that kind of affect your -- when thinks about putting leverage on acquisitions or in the securitization market, how does that affect unlevered return expectations? And then on AMP Infra, can you talk a little bit about the horizon for, I guess GIF I that you've referenced? And are there any kind of potential tie-ins with companies like Databank and Zayo given what you've just bought.
Marc Ganzi: Sure. Jonathan, thank you for participating. Let's start with the latter and then maybe go to the first question. I think as it relates to AMP, GIF I and GIF II have 2 sizable portfolios, GIF I was already in the process of being wind down. So the orderly disposition of that portfolio will continue. We don't see any change in the personnel. We don't see any change in the strategy. And so those assets for an orderly wind down would be over the next 2 to 4 years. On GIF II, which is a relatively new fund, where we have incremental firepower, we've got businesses that are growing.  There may be some monetizations over the next 2 to 3 years. But candidly, our focus is to grow that portfolio, overlay our investment framework, sort of the digital ridge way of how we create alpha through back office IT, opportunistic financings, greenfield, brownfield, leveraging our customer logos, in bringing our human capital to bear. I think this is a model, Jonathan, you've gotten to know pretty well over the last 2 decades. So injecting some of our DNA and our strategy into that portfolio is really important. And there's a lot of synergies. You hit the nail right on the head. I mean, whether, for example, in the airports, just bringing CBRS technology to those airports and creating an opportunity to create new lines of income by using our digital expertise.  Focusing on the renewables team at AMP, where they've got a great advantage there and there's an opportunity to continue to invest in decarbonization, which is so important to me. I've highlighted that for the last 2 years, that's a big part of why we did this AMP transaction. And then the digital logos that they have are incredibly strong digital logos that are exceeding their expectations in terms of growth. They're on their business plans. There's opportunity to grow further. And remember, in AMP, Jonathan, the average check size in GIF I and GIF II is between $220 million and $280 million. The average check size at DigitalBridge partners 1 in DigitalBridge partners 2 is between $800 million and $900 million. So these are different business models. They're playing in different categories.  They are in middle market infrastructure, and we're doing big bulge infrastructure. So this is really great for us because we weren't penetrating that middle market digital infrastructure part of the asset class. A lot of opportunities would come through our funnel, we'd have to say no because the check size is too small. That was a constraint. Now we're unconstrained. We're playing in that middle market space, and we're finding there's a lot of opportunity, a lot of synergies there. So really excited about the opportunity to unlock value as Jacky said earlier, in the AMP platform. Create the synergies, unlock the value, inject our DNA and then most importantly, bring all of our customer relationships and banking relationships and balance sheet relationships to bear on the GIF I and GIF II portfolio and then stabilize that platform and grow it.  We think there's a lot of opportunity for growth there in what we call our Digital Plus strategy. So now your first question, which is really important, which is how do we think about capital markets, how do we think about debt financing in new deals we're doing, not prospective deals. So in terms of new deals that are coming through investment committee today, I would say there are 3 things that we talk about and have been talking about now for the better part of 9 months. One, we're taking lower levels of leverage on assets. So we're underwriting to lower levered returns. Why? We think this is an environment where you don't stretch. This is not an environment where you take incremental risk. It's a risk-off environment.  So what you're seeing is a lot of prudence and a lot of care around the capital structure and new investments in new platforms. Second, we've recalibrated our models. Similar to the discussions Jonathan, you and I used to have in the early 2000s and the same conversations you and I had in 2008 and 2009, which is we have spreads moving up, we have base rates moving, and you have to take a 5- and 10-year view on that curve. And so that's what we've done. Once again, we did that 2 quarters ago. We were already moving spreads up. We're already moving base rates up. And on that basis, you get to different outcomes, which is you get to lower returns. So that's really important, being prepared, being ready to accept a lower return, underwriting higher spreads, underwriting higher base rates, lower leverage, and in turn, lowering asset multiples and models. I've never been a big -- put a 25x at multiple model to make the returns work. That's we think other people do that. We don't do that. We generally haven't changed our exit multiples around here for 20-plus years. And once again, for you, Jonathan Atkin has a broken record because you've been around me for a long time. We haven't moved exit multiples precipitously and we won't because they were already pretty conservative. So this is about having a framework and about having an investment framework that's been in place for multiple decades. We literally have not changed the way that we underwrite deals in 20 years.  We have an asset test, we have a business plan test. Those of you that know me really well have heard the speech for a long time. You underwrite the assets and then you layer in the business plan, which is around growth, which is around churn, which is around interest rates, total leverage levels, leasing growth, PTS growth, M&A growth and then ultimately, the exit multiples. This is a team that is incredibly surgical about how we look at digital infrastructure. And because we've been doing it so long, this was not a surprise to us. This environment does not surprise us. This is an environment where we thrive. We don't survive, make no mistake.  We're going to go out and we're going to thrive in this environment much the way we did in the dot-com crash, much in the way we did in '08 and '09. We're -- once again, we feel very good about where we are, and we know exactly where to go and what to do. There's no mystery about the environment we're selling into.
Operator: Our next question is from Richard Choe of JPMorgan.
Richard Choe: Great. I wanted to follow up. With the deals in Digital IM, does it make sense to keep the digital operating as part of the overall company? Or does it make more sense to maybe spin it off? Or is that just right now a part of the opportunities in the operating side that could change over the next 12, 18 months or longer?
Marc Ganzi: Well, look, I don't think the operating environment changes the opportunity set. We haven't changed our business plan, we haven't changed our strategy. Good businesses are built to respond to any cyclical nature of what happens in an economy. As I said earlier to Jonathan, we're built for investing in an environment like this. We really don't have a problem investing in a market like this because we've been through it. And when you've been through it, you understand the consequences of interest rates and inflation, higher construction costs, higher wages, higher growth, maybe higher lease rates, maybe more churn. We understand how to navigate these waters. I think what you saw in the first quarter was us being opportunistic.  By buying out the Wafra stake and by buying AMP, it means that we believe we can continue to form a lot of capital. And we believe if we form that capital, there'll be enormous opportunity. And so on that basis, we are built to scale. Everything that we've talked about today is building to scale. In this asset-light model, where we've invested in IM and we're scaling that part of the business, it enables us to grow and grow faster. That's the key. If that wasn't clear in the presentation today, I'm going to be banging on that drum for the next 2 to 3 quarters, and you're going to see it in the numbers. You're going to see it in our asset scaling, you're going to see it in our total capital raise, you're going to see it in our FEEUM growth, and we're going to continue to build and grow.  At the highest levels of this company, there's 1 tenant and there's 1 tenant only, which is we're built to serve customers. And so the best way in an environment like this to go out and respond to opportunities and customer needs, is to continue to form capital and the ability to go anywhere where a customer wants you to take them, provided you get the right risk-adjusted returns. We talked about that with the previous analyst, Jonathan, which is there's just a bit of a recalibration. You recalibrate your models, right? You accept new realities. You accept higher interest rates, you accept higher construction costs. You accept higher wages, you accept lower exit multiples. But nothing changes. We wake up every day, we go to work.  We know what we're doing. We've got a big pipeline to execute on, and we have the capital to do it. So it's just a slight nuance, right? It's not a pivot. It's not a change in our operations. It's not a change in our strategy. It's just accepting new realities and then underwriting to those new realities. And that's what you hear this team is prepared to do, and we're very well prepared to do that. I hope that comes through today in our commentary in our presentation.
Richard Choe: It does. And then on the Digital IM side, I guess there are start-up costs for new strategies that you've pointed or broken out in the supplemental. Are you kind of at scale now and these costs will fall off? Or should we expect these costs to kind of continue and if so, at what level, for how long?
Jacky Wu: Sure. We expect them to already be at scale. So we've been -- we're excited about them. And once they're finalized and form these strategies and then we come to fruition, the capital that we've gone and invested in warehouse in the balance sheet will come back to the balance sheet. And these investment professionals will now run and we'll be able to grow on top of that. We're excited.
Operator: Our next question is from Rick Prentiss of Raymond James.
Richard Prentiss: Busy quarter for you guys in post quarter, busy earnings day for us. I want to ask 2 questions. First, obviously, simplify the story even further with the Wafra transaction. I appreciate that and the flexibility it gives you a question we get a lot of times from investors is now that you're simplifying the story more and more. Bottom line for us, what do you think the most important number are, the metrics are for investors to look at to monitor your progress and how to value the company, what you do to manage the company is the first question.
Marc Ganzi: Yes. Jacky and I are looking at each other, we're smiling. I think the simplest metric is always EBITDA and FRE, right? And then ultimately, will be distributable earnings. And so I think when we think about that, the top of the pyramid will be EBITDA, the next level will be FRE because FRE drives EBITDA. And then ultimately, Ric, it's back to the basics, right? Earnings per share. right? What are we delivering for you? We're turning the dividend back on in the third quarter. We think we're building a very high-growth, high-performing organization that is going to deliver the fastest revenue growth, EBITDA growth that's fueled by FRE and that ultimately will be strong distributable earnings for our shareholders. And Jacky has been awesome at this. He's done a great job getting us to -- back to cash flow positive. You saw the AFFO number for this quarter, and we're going to continue to drive that and continue to be more free cash flow positive. I don't know, Jacky, if you want to comment on that, but you and I share that passion for profitability and returning earnings back to our shareholders.
Jacky Wu: That's correct. And as we fundraise more and realize the rest of the year's guidance and beyond for certainly FEEUM and fundraising, add that to the $23 million that we're acquiring from AMP and the $38 million that we get back from Wafra, the earnings per share, you could see is going to accelerate pretty substantially in the very near-term.
Richard Prentiss: Obviously, per share is an important comment there. You guys have touched on a couple of times, including Slide 16, potential, not just for dividends, but share repurchase. Help us understand how you think about leverage, share repurchases and do you need an authorized program? Would you have to do a 10b type plan? Because let's face that you guys are always active and busy, not sure what kind of blackout dates you would have if you didn't put something like that in place. But talk to us a little bit about what the share buyback plan might be as we see opportunity in the stock price, I assume you guys do, too.
Jacky Wu: Sure. So we've highlighted to you guys that the dividend will be turned on in the third quarter. You should expect that as we get closer to that date that we will form a program with our Board and more to come there. Don't want to highlight exactly which one, but there will be 1 that would be just a broad-based and recurring one that works for our business and adequately optimizes the allocation of capital between value back to shareholders, but investing back into digital infrastructure businesses. So first and foremost is we love our sector. We'll continue to invest in digital infrastructure. But to the degree it makes sense, then we will balance that with value back to shareholders and optimizing our capital structure.
Operator: Ladies and gentlemen, that concludes the question-and-answer session. I would like to turn the call back to Marc Ganzi for any closing remarks.
Marc Ganzi: Well, thank you, everyone. We appreciate your interest, your time, your attention and to our shareholders. We appreciate your support. These are, in some respects, challenging times. But as I said earlier, this is a team that is built for those -- these types of moments. Jacky and myself and the entire team here remain incredibly focused and excited about the opportunities that sit in front of us. We encourage you to spend more time with us over the coming weeks by all means, reach out to your sales team to get access to us, Severin and myself and Jacky, always remain open to engaging with our shareholders in a robust dialogue about where we're going and the exciting growth of the company. So with that, I'll conclude the quarterly call today. Thank you again for your time and your interest in DigitalBridge. Take care.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for joining us. You may now disconnect your lines.